Operator: Good morning, and welcome to Asure Software Fourth Quarter and Full Year 2017 Earnings Conference Call. Joining us today for today's call are Asure's CEO, Pat Goepel; CFO, Kelyn Brannon; and Director of Marketing, Stacy Zellner. Following their remarks, we will open up the call for your questions. With that, I would like to turn the call over to Stacy, who will provide the necessary cautions regarding the forward-looking statements made by management during this call. Please proceed.
Stacy Zellner: Thank you, operator, and good morning everyone. Before we start, I would like to mention that some of the statements made by the management during this call might include projections, estimates and other forward-looking information. This will include any discussion of the company's business outlook or expectations and financial guidance for 2018. These particular forward-looking statements and all of the statements that may be made on this call that are not historical are subject to number of risk and uncertainties that could affect their outcome. You are urged to consider the risk factors relating to the company's business contained in our reports on file with the Securities and Exchange Commission. These risk factors are important and they could cause actual results to differ materially from expected results. Finally, I would like to remind everyone that this call will be recorded and it will be made available for replay via a link available in the Investor Relations section of our website at www.asuresoftware.com. With that, I would now like to turn the call over to our CEO, Pat Goepel. Pat?
Pat Goepel: Thank you, Stacy. And I'd like to welcome everyone to Asure Software's fourth quarter and full year 2017 earnings call. We sure appreciate your interest and your continued support whether you're an employee, client, investor, analyst or valued third-party interested party. This is the first quarter that Cheryl Trbula did not read the script. And I just want to give a shot of to her she's recovering and will be back the next quarter, and I want to thank Stacy for filling in. Q4 and full year 2017 was just a banner year for Asure Software. When I think back through the year, we did six acquisitions. And it's not just doing deals, but six acquisitions that give us scale, product, customers, cross-sell opportunities, and it's really building blocks for the future. Our goal of -- our intermediate goal or long-term goal when I first started was $100 million company. That's increasingly becoming something that we're shooting for and will be a reality at some point here. The financing with Wells Fargo and Goldman Sachs for us to be able to execute that with those type of partners is evidence of our growing up and we're thrilled to have a relationship with them. And they're going to help us grow in the future. So it's not only this year, but it's also about the next couple. And then we successfully raised money this year with ROTH Capital Partners and in May with the timing of the acquisition of iSystems. So very, very strong year a lot of activity, I want to thank all the employees for being able to execute that. We drove several financial records for the year, revenue, gross profit, called revenue non-GAAP EBITDA. So really pleased with what we accomplished this year. We had continued growth across our business, particularly cloud revenue. Cloud revenue in the model is growing faster and faster. When I think back two years ago, I think we were at 58% of the revenues. This quarter we achieved over 75% for the first time in cloud revenue. And client the model is flipping either even faster than we originally thought, which is very, very positive. We exited the fourth quarter top-line grew to $15.3 million, 102% year-over-year increase in cloud revenue. We had a contribution from other types of revenue as well and very, very pleased with that. And that was despite a large customer pushing. So we announced in the third quarter that we had won a big deal, a global deal and originally they were going to have a big bang approach to implementation. They decided to a phased implementation. In fact there was about a $0.25 million was built here in the first quarter so from that client. So that implementation is going well, but we expected it originally this year. Looking at the full year. Our revenue increased 53% to $54.4 million and cloud revenue increased 91%. Again, cloud revenue 91%, the continued mix of highly valued cloud revenues we’re excited about it. Our hardware revenue increased 24% as well. Cloud bookings, which is an indicator in the future was up 228% year-over-year, 162% compared to the prior year, the full year. So, 228% was the quarter, we’re migrating existing clients to the cloud, it’s been a major initiative for us and the sales people and organization done an excellent job of focusing us for long-term success. From an expense standpoint, our operating costs were up, both sequentially and year-over-year. This is primarily driven by SG&A costs as well as non-reoccurring and non-cash expenses related to the acquisitions we completed in May. When we originally set guidance that we would do about $10 million of acquisitions in all of 2018, we didn’t believe that we do three acquisitions, January 1st of 2018. And so with that there was some infrastructure costs to the tune of $0.25 million that we thought was prudent in order to get the valuable acquisitions January 2nd. Also due to the cloud bookings commissions was up over planned about the same amount and that’s a high class problem they have, it hurts us this quarter, but obviously the cloud revenue going forward in the future of the business is very strong. Despite that, we are able to generate another quarter of solid EBITDA and non-GAAP profitability and for the six months of the year it has been a marked increase in EBITDA so that was positive. From a client activity perspective, when I look at our expanded sales infrastructure now that we have about sales reps or so, we had some outstanding wins, whether it's Fiserv, Rogers, Fannie Mae, Startek, Cal Maine, really, really great customers, good wins, very, very positive year for the sales team and that will bode well to 2018. Our average deal size is up year-over-year and customer acquisition costs are down. So, both teams have done a nice job of setting us up for success. Our sales pipeline is strong, numbers of deals in the pipeline is up almost 250% and what’s you are also seeing is the backlog, the backlog was 97% up year-over-year, that will be effective for revenue growth in 2018, so again very positive metric. We partnered even in the fourth quarter Atmospheric Commercial Interiors, which is one of the largest office furniture dealers in North America in steel case. They have partnered with us around our smart view product and occupancy sensors, this will allow us to sell more cloud revenue especially in the Asure space product line. So again, when I think back and reflect to 2017, very, very proud of all the work we did, proud of the milestones we put up and that have board well for the future of this year. For some of the financial details, I’d like to turn the conversation now to Kelyn Brannon, who has been with us since October 2nd, and we are just delighted to have her. Kelyn?
Kelyn Brannon: Thank you, Pat and good morning, everyone. It’s a pleasure to speak with you today. Turning to our financial results for the fourth quarter and full year ended December 31, 2017. Our revenue for the fourth quarter of 2017 increased 59% to $15.3 million from $9.7 million in Q4 of last year. The increase was driven by a 102% increase in cloud revenue, 30% increase in professional services revenue and 11% increase in maintenance and support revenue. This was offset by a 60% decline in our on-premise software license revenue and a 9% decline in hardware revenue compared to Q4 of last year. Fiscal 2017 revenue increased 53% to $54.4 million from $35.5 million in fiscal 2016. This increase was primarily driven by an increase in cloud revenue of 91%, an increase in hardware revenue of 24% and an increase in professional services revenue of 6%. This was offset by a 37% decrease in on-premise software revenue and a 3% decrease in maintenance and support revenue as compared to fiscal 2016. Our recurring revenue for the fourth quarter of 2017 as a percentage of total revenue was 84%, an improvement from 73% in the fourth quarter of 2016. For fiscal 2017 our recurring revenue as a percentage of total revenue was 82%, as compared to 74% in fiscal 2016. Our gross margin for the fourth quarter of 2017 was $11.3 million or 74.1% of total revenue, a 51% increase from the $7.5 million or 77.5% of total revenue in the fourth quarter of 2016. For fiscal 2017 gross margin was $41.8 million or 76.8% of total revenue, compared to $27.4 million or 77.2% of total revenue in fiscal 2016. Now looking at our profitability metrics, for the fourth quarter of 2017 EBITDA excluding one-time items totaled $3.6 million, an increase of 63% from $2.2 million we reported in Q4 of last year. EBITDA excluding one-time items for the full year of 2017 totaled $11.5 million, an improvement from $7.5 million in 2016. Our GAAP net loss for the fourth quarter of 2017 totaled $1.4 million or a negative $0.12 per share. This compares to net income of a $131,000 or $0.02 per share in Q4 of 2016. Our GAAP net loss for the full year of 2017 totaled $5.7 million or a negative $0.53 per share. This compares to a GAAP net loss of $972,000 or negative $0.15 per share for 2016. Excluding one-time items our non-GAAP net income for the fourth quarter of 2017 totaled $529,000 or $0.04 per share. This compares to a non-GAAP net income excluding one-time items of $633,000 or $0.09 per share Q4 of last year. For the full year of 2017, our non-GAAP net income excluding one-time items totaled $17,000 or zero cents per share as compared to $1.6 million or $0.24 per share for the full year of 2016. For the fourth quarter of 2017 our non-GAAP net income totaled $2.1 million or $0.17 per share. This compares to non-GAAP net income of $1.4 million or $0.20 per share in Q4 of 2016. For the full year of 2017, our non-GAAP net income totaled $5.5 million or $0.50 per share. This compares to non-GAAP net income of $4.5 million or $0.68 per share in the full year of 2016. Now turning to our backlog, which we define as sales bookings that have not yet turned into revenue or deferred revenue, including both repetitive and non-repetitive product lines. For repetitive products one year’s value is included in backlog, our backlog totaled $23.6 million, a 17% increase compared to the prior quarter and a 97% increase from Q4 of 2016. The backlog numbers include unbilled backlog and deferred revenue. We continue to expect many of our enterprise clients to move through the implementation process this year, which will result in conversion from backlog to reported revenue growth. Shifting gears to our balance sheet at quarter end we had $27.8 million in cash and cash equivalents and $78.1 million in debt. And finally our deferred revenue at quarter end totaled $14.2 million, which was up from $10 million in Q4 of last year. That concludes my prepared remarks, I will now turn the call back over to Pat. Pat?
Pat Goepel: Thanks, Kelyn. I’d like to shift gears to our strategic tuck-in acquisition strategy and provide some detail on the three deals we completed in early January this past year. TelePayroll, Sheakley Pay Systems, Savers Administrative services were all welcomed to the Asure family. Collectively these acquisitions are expected to generate approximately $30 million of revenue in aggregate this year. Let me first talk about TelePayroll, Southern California based provider of HR, payroll and employee benefit services. Excited about TelePayroll from that delivers its services to more than 1,000 regional companies in Southern California, and representing over 50,000 work site employees. For 50 years TelePayroll has provided payroll HCM, Human Capital Management, and benefit services to the employers on the West Coast. The firm built its business on a customer centric model that includes dedicated customer support and deep payroll and tax expertise. We choose them as our regional office because of the experience of the people and the talent and they certainly haven’t disappointed. They recently were awarded top 20 most popular payrolls software product by Captera and I remind you that the payroll product they use was the evolution product that when we bought iSystems in May. So very consistent with our strategy. Second acquisition in January which Sheakley Pay Systems division of the Sheakley Group, which is an Ohio based provider, workmen’s comp, risk management, HR, and payroll and employee benefit services. This acquisitions in particular solidifies our expansion in the central United States, they have a very fine processing center in national and demoing. And so we are excited about Sheakley and we are excited about the growth opportunity that we can provide going forward, again a very, very talented staff. And then finally, the third acquisition we completed earlier this year was of Savers Administration certified third party administrator specializing in benefit products and services as well as payroll. Since 1996 Savers Administration has provided employer solutions to hundreds of organizations in the Carolinas. Again including payroll administration, cobra and employee benefits administration. And again the two partners that are with us really a strategic acquisition from an implementation resource perspective. They are very knowledgeable about the benefit and the payroll technical marketplace. And we think we will get a lot velocity from those acquisitions. What’s important to remember again is they were resellers of our technology this allows us to quickly and effectively integrate them into our business, realize very meaningful revenue and EBITDA improvements. This strategy enables us to augment our already solid organic growth and this individual sales people who had a better year this acquisition strategy is just as important to bring on new customers and become a very efficient scalable company. As far as guidance, we are going to turn to our guidance and outlook, we are increasing our revenue guidance, which we originally provided in January. We expect to achieve between $79 million and $82 million in revenue with non-GAAP EBITDA excluding one-times of between $18 million and $20 million. The large account that did push is already revenuing this year and we are on track for the implementation of that. So we thought it was prudent to increase that. The cloud revenue numbers that were so strong are going to implement in 2018 as well. So increasingly confident in the revenue guidance that we have. Merger and activity -- merchant acquisition activity remains brisk. We did -- we’re fortunate to get and to buy the three acquisitions we did in January. So we effectively met that goal that we told you about. I would say we have several potential deals in the pipeline and that we are looking at definitely consummating more transactions this year and they are not in our guidance. So between our financial, operational successes in 2017, our continuing accretive acquisitions we entered 2018 with solid momentum and definitely have accelerated the velocity of our cross selling opportunities and scaling out our business further. Our execution on this roadmap will lead us to continue success in 2018 and beyond. Our company has the right growth strategy, we have significant financial and operational momentum and industry leading solutions that will power as up to scale our business even further both in the near-term and the longer term as well. To that end, we're well on track of our midterm goal of passing $100 million in revenue with 22% to 25% EBITDA margins, excluding one-time items. As far as financing, some of you have asked on financing. We expect to have an increase line with our current partners and I think you'll see that delivered here in 2018 as well. And with that, we're open for your questions and really appreciate your interest. Operator?
Operator: Thank you. [Operator Instructions] And our first question is from the line of Richard Baldry from ROTH Capital. Sir, your line is now open. Richard Baldry, your line is now open.
Richard Baldry : Thanks, sorry. Looks you have upside on with the core strategic recurring revenues where your hardware licenses were a little below where I had. How do we think about those more volatile none strategic revenues in 2018?
Pat Goepel: I think they are volatile, we do feel especially with some of the large accounts, sometimes there is delays in the process. I would say activity on the sales pipeline is very strong. They will be lumpy from quarter-to-quarter and it's not an exact science, but I would say as far as revenue growth this year in hardware, we had a nice year overall. Fourth quarter was a little bit light. I don't -- we're leading with the cloud and we're also flipping the model to HaaS in a lot of cases and what I mean by that is hardware-as-a-service. And so there will be some lumpiness, I don't think hardware will grow anywhere as fast as a percentage of revenue compare to the cloud. And I think you'll see more of a steady state. We are embedding sensors into a lot of our clients and what that does is give clients data to make really good decisions and use our scheduling software. When we have an integrated client of hardware and software, our retention rate is even higher. So it's very valuable resource, there is some lumpiness and we're doing some things to making more and more predictable.
Richard Baldry : Thanks. And then as cloud was up about $0.5 million sequentially in a period where you are not doing acquisitions in fourth quarter. So the way I think about that that’s something like a $2 million ARR number on the single quarter or $8 million a year, which would argue you’re already sort of at a double-digit organic growth. Is that a fair way to look at it or are there any one time or moving pieces that we'd also have to think about at the same time?
Pat Goepel: There will be some first quarter seasonality with W2s [ph] sometimes you do get a small amount of adjustment runs into the fourth quarter. But I think the way you kind of describe it and that's why we're excited about the business, is the could revenue is repetitive by nature. And so as you get these train moving it rolls through future years, because you recognize it one month at a time. So, there is some noise in the fourth quarter, but generally the trend is very positive and you'll see that in 2018.
Richard Baldry : And can you remind us how quickly you expect to be able to get to similar contribution margins from the more recent acquisitions as we've seen sort of in your tuck-ins in the past? Whether that's a quarter or two quarters, do you feel like now that you've done several of them you've got that process sort of accelerated or very repeatable process? Thanks.
Pat Goepel: Rich, thanks for the question. On the January acquisitions why they were pretty strategic in all three areas. Is they brought really strong people and from a regional perspective, what they allow us to do is even increase the velocity of small tuck-in acquisitions. So in some of these cases, our model will be two quarters to kind of have a final kind of headcount, final cost taken out. But why we're so excited is we also have people that are very, very talented that will allow us to do smaller acquisitions without a lot of labor and even increase the target of the 50% EBITDA for those smaller acquisitions. I think these will be about 10% lower in contribution. But again from a scale perspective it will payoff for us long-term.
Richard Baldry : Great, thanks a lot.
Operator: And our next question comes from the line of Derrick Wood from Cowen & Company. Sir, your line is now open.
Derrick Wood: Great, thanks for taking my questions. Wanted to a hit on a couple of other revenue line items. The on-premise software was down sequentially and professional service. I am just curious if that is due to kind of the one client deal pushing or perhaps you're just seeing an accelerated shift from on-prem to cloud?
Pat Goepel: Yes, Derrick great question. And it is it's an -- we are flipped in the model a little bit faster than originally thought, which is very positive for the business mid-term and long-term in the quarter it flips, it's not as positive. But we're not going to go back in that strategy. And it's a high-class problem. And it's a good problem to have. As far as professional services dead on to the one large account that push, so unfortunately we didn't achieve as high as we thought we would in the fourth quarter on that large account. But the good news is they're already well in their way of implementing now and that phase rollout is going very, very strong. I do think you'll see continual degradation on the on-prem. This year we're largely through the transition, I think when I first started here we had $6 million or so of on-prem revenue this past year it was $1.2 million. So we'll continue to work that down. And it will become more and more of a predictable business. As far as professional services, cloud revenues going too far outpace professional services growth. We'll have some growth in professional services, but the model is a little bit different. And we definitely are emphasizing the cloud revenue.
Derrick Wood: That's helpful color. And I guess just kind a walk us through why the -- and it looks like you came in at the lower end of guidance, but you're raising 2018 guidance. And maybe that's due to some of the revenue coming in from this large customer. But maybe you can walk us through what gives you the confidence to raise guidance. And since we're pretty far along in Q1, any color you could give us on Q1?
Pat Goepel: Yes, Q1 we're focused on the year not on Q1. And we'll have Q1 in May with the earnings call. But what I would say is the health of the businesses is very strong. As far as guidance, our cloud bookings were really strong. And so that added $200,000 plus in commission expense that we didn't expect, which is very positive long-term or mid-term. So the cloud bookings, the deferred revenue, the backlog, those are all really healthy signs coming into the year. And then the large customer, which is about an $800,000 push that gave us the confidence to increase guidance. But the leading metrics were very, very positive.
Derrick Wood: And on that last question, the pipeline up 250% that's quite impressive. Are you -- can you outline what you're doing to help drive more cross selling and the install base. I mean it seems like there is a lot of opportunity to cross sell or there is more focus on solution selling, with your broader portfolio. Anything you can highlight in terms of what you want to focus on this year?
Pat Goepel: Yes, thanks Derrick, great question. The big focus started 1/1/2017 -- or 6/2016 actually -- I am sorry, 1/1/2017, what we did is introduced all the sales people to all the products. So to prior to that they sold product-by-product and if you want to time or if you wanted payroll or if you wanted space, you had your individual product sales rep. But what we did in 1/1/2017 was to introduce everybody to the entire solution and that’s really accelerating and paid off. So it’s driving opportunities, we’re getting up a level with the buyer to the C-suite, whether it’s a CFO, VP of HR, CFO, IT, so those folks, what I’ll call the three departments to drive a lot of decisions we’re going there with our entire solution. We’re actually getting quicker sales cycles, because we’re selling top down, as oppose to bottom, the bigger sales. And then the product family under Joe Karbowski, we got a common UI, or user interface, common more modern APIs or interfaces and integration. And then we are acquiring and so when we acquire, we acquire these customers in payroll, even if they don’t buy the whole solution, what they’ll do is they’ll buy our time product. And I think you’ll see us come out with a series of metrics over time upon intended around attach rates. So I think you’ll see some of that kind of color as we get into 2018 and 2019 and Kelyn is focused on that. So, it’s just a very positive story and then the other thing, I’ll speak to when we acquired Kelyn as the CFO, we did a search three years ago and the person that was second in the CFO, we brought that person back, we interviewed 10 people and that person -- it was probably 9th or so out of 10. And what that speaks to I think is we’re being able to attract higher quality people every day because of the momentum in the business. So that feeds on itself as well. So, it’s the right products, the right selling strategy, the right people with more customers that’s leading to this cross selling success that we’re having.
Derrick Wood: Great, thanks for the color Pat.
Operator: Our next question comes from the line of David Hynes from Cannacord. Your line is now open.
David Hynes: Hey, thanks guys. Can you hear me alright, Pat?
Pat Goepel: I can.
David Hynes: Great. So I want to ask about your last comment in the prepared remarks, which was around financing. Clearly there was a good explanation for the EBITDA miss in Q1, but the numbers are the numbers. So, how does these results impact your conversation with lenders, obviously access to capital is important part of the go forward strategy. So just give us some color around those conversations?
Pat Goepel: Yes, and actually -- DJ, thanks for the question. Absolutely, I mean, there is no shortage of people that are willing to lend us money. And the reason being is the model, while you have a short-term blip, when you put up sales bookings that are strong, deferred revenue that’s strong, backlog that’s strong and cost control, where we brought in acquisitions quicker than we forecasted and we sold more so we paid commission. Lenders are pretty savvy and they see through some of that. And then also the marked improvement that we’ve had the second half in year in EBITDA and the historic discipline to get the costs out and now we are doing three more acquisitions in January. So, they are very focused on the long-term success of the business, whether we were to go out to bid or what have you, we’d have plenty of options. And -- but the focus on Wells Fargo and Goldman Sachs, who are really being good partners for us, they understand the model. And then Kelyn specifically has an awful lot of credibility with the lending market as well as our two partners. So we feel very confident in that area.
David Hynes: Okay, perfect. That’s what I want to hear. I'm going to ask about the go-forward M&A model. So you’ve acquired the deals you did in January, you acquired a few different I guess what I would call regional pods is there a strategy looking ahead to tack on service bureau in those same regions in which case I think it would be easier to kind of consolidate assets or do you want to add new deals or is it just about being opportunistic based on what the service bureau base affords?
Pat Goepel: Thanks for the question, DJ. I think you’ll see one more or so regional hub we might do one or two more it really is a combination of experienced people, size, as well as what businesses are around it. And so I think we’re not done yet in that area. But what it does do is it helps facilitate smaller tuck-in acquisitions and really we’ve had -- we haven’t identified hub and we can put that business in there very quickly and efficiently. So some of it is if you think of an airplane traffic controller, you’re lining them up on runways and then you also have to kind of talk to our people and what they can absorb in a quality matter as well, but we’re recently confident with the velocity. We think the acquisitions have gone well, we’re teed up in the marketplace and ready to go and I think you’ll see more of the same.
David Hynes: Yes. Last question from me and maybe it’s for Kelyn, so I know you guys only guide annually and this already came up, and I'm going to give you another shot at Q1, I think it’s in everyone’s interest to kind of make sure we don’t have another miss in Q1. So anything that you can give us in terms of color on where you expect cloud revenue to be, where you expect full revenue to be, there’s two weeks left in the quarter. I just want to make sure that we’re going to nail Q1 and set this thing up for success next year?
Pat Goepel: Yes no, DJ I appreciate it, I appreciate our needs for quarters and all that kind of thing. But I'm building a business that’s a legacy opportunity for me and it’s a legacy opportunity for all the employee, shareholders alike. If you get too focused on a quarter, I appreciate that, but we have three acquisitions that we’ve done. We also have intangible and goodwill. We have 606, used to have a lot of moving parts, and what I don’t want to do is just give you a number to satisfy a number I don’t want to low ball anything. What I want to do is just be very prudent about it. And to me this is a multi-year expansion opportunity to build scale. We understand we have to be accountable and we are accountable, nobody lives this thing more than I and the employees were very accountable. But what I would say is right now we’re focused on the annual guidance, we’re focused on the business and we’re not going to get into a quarter right now.
David Hynes: Yes, okay. I mean, 82% recurring revenue we should be able to get pretty close. So alright, fair enough. Thanks guys.
Pat Goepel: Thank you, DJ.
Operator: Our next question comes from the line of Eric Martinuzzi from Lake Street. Your line is now open.
Eric Martinuzzi : Yes, I just got a follow-up to an earlier question, just about the grand vision here, if we were to rise up and look at USA, you’ve now got obviously with the TelePayroll acquisition, you got your big footprint in Southern California, the company’s headquarter in Austin. You pick up operations in Nashville, what -- it looks fast forward to two or three years out now what does Asure look like is it three regions and we mine those regions for penetrating the install base as well as acquisitions or is it just kind of we’ll take them as they come?
Pat Goepel: Yes, thank you for the questions, first of all, when you think back at the opportunity we have, we have a big opportunity. We have called it 150 resellers. We’re going to be thoughtful about that first of all we want to encourage them to grow. So acquisition isn’t the only option here, we view that as almost the partner for life, we want to grow them early, we want the ability to help them grow with world class products and cross-selling opportunities. And then if they have a life event and they want a cash out whether it’s retirement or divorce or whatever we want to be the first call there for them. So we have a strategy around that and I wouldn’t focus -- I am not looking to define is it going to be three hubs or four, or five even so that matter. What I am looking for is high quality business partners, high quality talent that allows me to grow, grow and grow. And then with that growth becomes very high profit margin as we get the benefits of scale. So it’s some strategy and it’s some kind of opportunistic of what employees we need, what regions we need. We do centralize some of the back office, I think you will see a centralize on AWS, Amazon cloud, I think you will see a centralized some of the back office functions. But customers do appreciate the regional expertise that’s out there and we want to take advantage of high quality shops that are out there and then make them partners. And when we do that we are going to succeed. As a couple of years rollout, I think we have opportunities and having run a $2 billion divisions of this space, I think there is opportunities to get tighter with the model. But right now we are not going to be so rigid we miss on some of the opportunities.
Eric Martinuzzi : Okay. And the next question is kind of two part and maybe it’s more of a comment than a question. But Kelyn is there any -- I know you are not looking for things to do, but the SG&A can we get that broken out in future reports between the sales and marketing and the G&A?
Kelyn Brannon: The answer to that is yes, I am in the midst of as I think I have mentioned on the last call we are cleaning up our infrastructure here from an ERP perspective and the data. And Pat and I determine to get to whether I break it out between sales and marketing, R&D and G&A or I think about operational group and where that sets and gets disclosed, but the answer to that is yes we will.
Eric Martinuzzi : Okay. And my follow-up is you’ve got some excitement going on in your department this quarter between GDPR and ASC 606 and the new tax law, is there anything we should be specifically allocating here in Q1 as far as maybe bumping up OpEx assumptions?
Kelyn Brannon: I think the answer to that is, yes, we still have some activities going on with the item such as 606 finishing up those memos. And I have a consorted effort in place for getting the data cleaned up and getting a new ERP system in. I would not anticipate from a G&A perspective a significant increase in Q1 what I will say is that in the Q1 call I plan to give more guidance around infrastructure spend that we would be looking at in the back-half for the year. So happy to do that on the Q1 call, I think you are going to see an impact more mid to late year for spend around infrastructure.
Eric Martinuzzi : Got you. Okay, thank you.
Operator: And our next questions comes from the line of Mike Latimore from Northland Capital. Your line is now open.
Unidentified Analyst: Hi, this is Rishi Velicanti [ph] for Mike Latimore. Thanks for taking my call. I have a couple of questions. How is the pipeline for workspace management?
Pat Goepel: I am sorry for what management?
Unidentified Analyst: For workspace.
Pat Goepel: Workspace the pipeline is very soft, I think we are -- our SmartView product, which allows us to help companies track their occupancy is been very strong. And we have had some delighted customers that have had some good word of mouth or they started with one location now they’re starting to go either worldwide or make it a standard. And then they are bringing in our scheduling product team and give it more color. So demand is high and then the team has done a very, very nice job. What I would also say on workspace is some people because we have some really impressive names Procter and Gamble, HSBC and the like. Some people think it's a large account product only. What I would say it's increasingly coming down. And the concept of business hoteling is getting very strong throughout the business. And then also we're of the believe that you can have a human capital management strategy without human space strategy. And we're seeing increasing velocity and interest in our cross-selling solutions.
Unidentified Analyst: Great. And what was the organic revenue growth and bookings growth in 4Q?
Pat Goepel: Bookings was in the release, the number -- let me just…
Unidentified Analyst: The organic number.
Kelyn Brannon: Bookings Q4, over Q4 2016 was up about 54%.
Unidentified Analyst: And organic revenue growth?
Kelyn Brannon: What we indicated around that and we're going to be providing more clarity on that in 2018 is that our organic growth remains relatively stable around that 10% range. But later in the year more color around that, but we feel really good about the organic growth.
Pat Goepel: And there is -- as we breakdown, as we get a common ERP. Getting data out with much more precision we're going to share that as we go.
Unidentified Analyst: Alright. That's all for me, thank you.
Operator: And our next question comes from the line of Jeff Van Rhee from Craig-Hallum. Your line is now open.
Jeff Van Rhee: Great, thank you. Several for me. Maybe just with regard to the large customer and just give a refresher when they were signed. Just clarify, was this originally expected to be prem cloud. Some semblance of size. And just how you were envisioning and originally playing out through the P&L in terms of revenue impact and what it looks like now. Just a little more cleanup on that?
Pat Goepel: No it was too common deal. It was I think in the second or third quarter, early third quarter. It's hardware and software and originally they wanted to go to a big bang approach. There is some standards around some financial institutions, there are some standards around testing of hardware, et cetera. Just to get through their process, it's also a global client. And to get through their process and rollout, what they decided is to do a phased approach as opposed to a bigger bank. So when you do a phased approach and like I said the first quarter we've implemented about 20% or so of the deal and feel really that we have a really good partnership. We feel it's a good mix of hardware and software. And we think they're going to be a client for a long time to come. So the original kind of big bang approach and we didn't model all the revenue, but we modeled call it two thirds of it or so didn't happen, but it will happen in 2018.
Jeff Van Rhee: And just to clear that was to be a premise deal?
Pat Goepel: No it was not to be a premise deal. It was cloud and hardware. The hardware and professional services would have been more of a one-time nature. But the cloud is reoccurring revenue.
Jeff Van Rhee: Yes, got it. Okay. Great. And then the infrastructure investments that you specifically referred to in the quarter. Can you give a little more clarity on specifically where you're putting that money to work?
Pat Goepel: What I would just say and I'm not going to get too granular here. Because I don't want us to miss the story. The story really is the three acquisitions all were done in January 2nd. So if you want to take costs out or if you planned to take cost out and you're adding $10 million or $13 million of revenue and a fair amount of complexity, would you take those costs out and then rehire them a month later you wouldn't. So I don't want to get too deep into it, but we thought it was the right decision to make sure we were ready to integrate and receive $13 million of business all on January 2nd.
Jeff Van Rhee: Okay. And then with respect to the cross-selling, any particular call outs in areas where you're seeing notable momentum with respect to the cross selling opportunity?
Pat Goepel: So first of all, I think we have probably now sold what I'll call the whole meal deal probably about 12 times of so, which is increasingly good momentum. What I would say is if we don't get the whole meal deal a lot of times payroll and time is a logical first step, payroll benefits or cobra and FSA are starting to be on the uptake as well. Space and HR seem to really work together well. So we're in the early earnings of the game, but those are the areas that we see success so far.
Jeff Van Rhee: Got it. And then I know in prior quarters you had given the sequential growth in pipeline, just an update on what it was this quarter? And while you are on that just with respect to bookings it looks like a great number year-over-year, do you have any reference sequentially?
Pat Goepel: Just with seasonality we didn't this time, I mean, sequentially we're up and we're up well over double-digit, but I don't have the break out of that.
Jeff Van Rhee: That's on pipeline you are talking about?
Pat Goepel: Well, you can talk pipeline, bookings, backlog, deferred revenue they are all up sequentially as well.
Jeff Van Rhee: Okay, thank you.
Operator: And our next question comes from the line of Vincent Colicchio from Barrington Research. Your line is now open.
Vincent Colicchio : Thanks for taking my questions. Most of my questions were asked. Just on the 2017 acquisitions, can you give us some color in terms of -- have you been able to maintain -- retain all the key employees that you’d like to retain?
Pat Goepel: We have been able to retain everyone that we wanted to and really delighted with the talent levels in all three acquisitions. There everybody is talented, as we'd hoped for in the coding process. And so, when you think about what we're trying to accomplish in our growth rate to get valuable employees is so critical. So we're able to retain everybody and I think part of -- they see it as an opportunity as well because we harmonize the benefits, we give them access to the employee stock purchase plan, there is a lot of positives. And then culturally we try to really assess if they’re a good fit upfront and so far very, very strong in those areas.
Vincent Colicchio : And then you're -- the SMB product upgrade, could you explain to us how that's helping you win in the market?
Pat Goepel: I think an version 2.0 for us was a key release because the iSystems was a very strong payroll product, they were a little bit light in HR and our cross selling component of space, HR, time, payroll benefits is dependent on a strong HR product. And so very, very happy with the release. We met with a lot of the resellers here this past month and the feedback has been very positive the uptake. I think you are going to see good revenue growth this year in that product specifically.
Vincent Colicchio : Okay, thanks Pat.
Pat Goepel: Thank you.
Operator: And our next question comes from the line of Ryan MacDonald from Dougherty & Company. Your line is now open.
Ryan MacDonald : Thank you. First I guess question for Kelyn. Kelyn you mentioned that obviously on the first quarter call you are going to be detailing more on sort of some incremental expenses in the back half of the year. I guess, first, are those already included in sort of your guidance expectations for 2018 on EBITDA here? And then secondly, I guess, as you working through the 606 transition, would you expect any of these incremental expenses in the back half to be offset by a potential benefit from the adoption of 606?
Kelyn Brannon: So, to deal with the question of some infrastructure investments, yes, the majority of those costs are backed in absolutely into our $18 million to $20 million kind of EBITDA guidance. I would say as far as 606, I’d refer back to my comments in Q3, where I indicated that we have adopted the modified retrospective. We don’t expect any material impact on our top-line revenue and that any type of opportunity or any type of impact would be to commission expense. But we don’t have a huge commission expense is not it’s significant, but as you know our strategy bode with the 50 sales reps or so that we have unlike a very, very large company with a large sales organization and we’ll have the same material impact from a 606 perspective on commission expense.
Ryan MacDonald : Got it, thank you. And then I guess just a follow-up her for, Pat. Pat you mentioned obviously you met with a lot of the resellers and service bureaus and association with sort of the update there, can you give us -- tell us what sense you know had from those discussions about what the competitive dynamics of the market are for those service bureaus if they are seeing any sort of changes there as well as any perhaps larger competitors kind of moving down market more into their space?
Pat Goepel: Thanks. Ryan. I think just in general I think people feel that the competitive landscape -- in general there is more opportunity and the reason there is more opportunity is the traditional call it the two big ones from a service bureau perspective ADP and Pay Checks have opportunities to go let’s say a dollar of payroll and then maybe a dollar beyond payroll. So they are expanding in the benefit area, they are expanding in HR, they are expanding in those areas. The newer technology providers, what I’ll call the piece, paylocity, paycor, paycom [ph] clearly are taking share from ADP and Pay Checks and are focused on as well on a broader kind of offering than payroll. And so this has really been a really good fit because when we took over the iSystems company, we’re able to come out now with multiple products and higher tech products, cloud based products really the suite from hire to retire in an including space management. So they have so much more capability now than they had called it a year ago. And so it’s been a -- it really gives them an ability to compete even at a higher level. So we’re excited about that.
Ryan MacDonald : Thanks very much.
Pat Goepel: But as far as the competitive landscape, I think in general we’re seeing that SaaS adoption is absolutely increasing, it’s driving growth, the newer entrance I think are gaining share and the previous entrance are focused more on a beyond payroll solution. So they are able to grow, while also giving up some share. Any other questions, operator.
Operator: And I am seeing no further questions. At this time this concludes our question-and-answer session. I’d now like to turn the call back to Mr. Goepel for his closing remarks.
Pat Goepel: Thank you and I really -- sorry for the long call today, but I think it was an important call today, we had a lot to unpack. Any if we were light on EBITDA I take this stuff very seriously. But we are investing in growth and we’re investing in a company that’s going to be built to last. And I am very, very proud of what we did this year, I am really excited for the future. We are building a company that’s going to be great, we are hiring the right people. Our employees are giving it their all every day. I want to thank them, our clients, our great partners excited about the opportunities going forward. And then from a strategy perspective whether it’s financial partners, as well as companies that already use our technology that will become part of Asure. We feel we’re right on track to do something special. So I appreciate your interest in Asure, and I just remind you I came here eight and half years ago, I have never sold a share, this is a legacy opportunity for me and I am more excited today than I’ve been in the eight and half years at Asure. And I assure you I wake up excited every day. Thanks for your time. Bye now.
Operator: Ladies and gentlemen thank you for participating in today’s conference. This concludes today’s program and you may all disconnect. Everyone have a great day.